Operator: Good morning everyone, and welcome to the Citizens Financial Group Second Quarter 2018 Earnings Conference call. My name is Paul, and I'll be your operator today. [Operator Instructions] As a reminder, this event is being recorded. Now I'll turn the call over to Ellen Taylor, Head of Investor Relations. Ellen, you may begin.
Ellen Taylor: Thank you so much, Paul, and good morning everyone. We really appreciate you joining us on another busy day. Our Chairman and CEO, Bruce Van Saun; and CFO, John Woods, will start the call by reviewing our second quarter results, and then we're going to open things out for questions. Also with us in the room today are Brad Conner, Head of Consumer Banking; and Don McCree, Head of Commercial Banking. So, I need to remind you that in addition to today's press release, we've also provided a presentation and financial supplement that you can find on our Web site at investor.citizensbank.com. And of course our comments today will include forward-looking statements, which are subject to risks and uncertainties, and we provide information about the factors that may cause our results to differ materially from expectations in our SEC filings, including the Form 8-K we filed today. And we also utilize non-GAAP financial measures and provide information and a reconciliation of those measures to GAAP in our SEC filings and earnings release. And with that, I'm going to hand it over to Bruce.
Bruce Van Saun: Okay. Thanks, Ellen. Good morning everyone, and thanks for joining our call today. We're pleased to report another very strong quarter paced by strong top line growth of 8% and good expense management, which combined for positive operating leverage of 4.3% year-on-year. We achieved good balance sheet growth with 2% sequential average loan and deposit growth led by strong performance in commercial. Year-on-year, our loan growth was 3% and deposit growth was 4%. We continue to feel good about our capital management strategy, that is, we have been able to fund strong organic loan growth, deliver attractive levels of capital return to shareholders, and target modest size fee-based acquisitions to expand our product and our service offerings. Today we announced the 23% increase in our dividend to $0.27 per common share. We also remain on track to close our Franklin American Mortgage acquisition in early August. The strong executive so far in 2018 continues to deliver impressive improvement in key metrics. In the second quarter, our EPS grew by 40% year-on-year, our ROTCE improved to 12.9%, which is up 3.4% year-on-year, and our efficiency ratio improved to 58%. We remain confident in our outlook for the second-half with strong performance expected to continue. Today we announced our TOP V programs, which is not a surprise since we had one every year, but certainly not something that should be overlooked. Our management team operates with a mindset of continuous improvement. We are constantly seeking ways to run the bank better and to do more for our customers. The program announced today goes on the work of previous programs delivering approximately 100 million in run rate benefit by the end of 2019 with two-thirds of that coming on the expense side. These programs have been key to both our consistent delivery of positive operating leverage plus our rising customer satisfaction scores. We continue to achieve good external recognition for our progress with customers and on innovation. You can see that laid out in our slide deck. Suffice to say, we feel we've shifted from playing defense and catch up to now playing offense and leaning-forward to utilize new technologies, embrace the digital operating model, and leverage data. More work to do, but we are heading in the right direction. So with that, let me turn it over to our CFO, John Woods, who will take you through the numbers in more detail and provide you with some color. John?
John Woods: Thanks, Bruce, and good morning everyone. I'll run through the highlights of our second quarter results which start on Slide 3. We generated net income of 425 million and diluted EPS of $0.88 per share, which was up 13% linked quarter and up 40% year-over-year. Once again, we delivered solid positive operating leverage of 7% year-over-year, or 4% on an underlying basis adjusting for some notable items we had in the prior year. Net interest income of 1.1 billion was up 3% linked quarter, driven by 2% average loan growth. Our net interest margin increased two basis points linked quarter and 21 basis points year-over-year. I will cover the margin in more detail in a few minutes. We delivered nice growth in fees, which came in at 388 million, up 5% linked quarter and year-over-year, and up 2% on an underlying basis from the second quarter of 2017, which included near record capital market fees. We continue to make progress on our efficiency ratio, which came in at 58%, roughly a 2.5 percentage improvement linked quarter and year-over-year on an underlying basis. This strong performance drove a nice improvement in ROTCE, which came in at 12.9% compared with 11.7% in the first quarter and 9.6% in the second quarter of last year. These excellent results reflect our commitment to delivering strong revenue growth while maintaining operating expense discipline resulting in consistent and robust operating leverage. As you know, we are always looking to find ways to run the bank better and improve our return. In a few minutes, I will walk you through the next phase of our TOP program, which will contribute further efficiencies and revenue opportunities for us, while funding investments to drive future growth. Let's go to Slide 5 to cover our NII NIM results. Despite a very competitive environment, we continue to deliver attractive balance sheet growth with average loans up 2% linked quarter and 3% year-over-year, which helped us drive a 3% linked quarter increase in NII. Our net interest margin improved in line with our expectations, up two basis points linked quarter and 21 basis points year-over-year, reflecting a nice improvement in loan yields, given the pick-up in short-term rates and improvements driven by our balance sheet optimization efforts, where we were able to shift the mix of our loan portfolio towards high return category. Loan yields were up 19 basis points this quarter, more than offsetting higher funding cost of 15 basis points, which reflects the full-quarter effect of 750 million in senior debt we issued in late March and the impact of rise in short rates on our deposit cost. Note that we grew period end deposits by over 1% in the second quarter and the spot LDR ended the quarter at 97.5%. Taking a look at fees on Slide 6, non-interest income was up 5% linked quarter and 2% year-over-year on an underlying basis. The improvement in linked quarter fees was driven by a strong quarter in capital market, where we continue to leverage investments we made in talent and broadening our capability. Market conditions in the second quarter helped drive robust activity in loan syndication, where we closed a record number of transactions and nearly doubled loan syndication fees in the first quarter level. FX and interest rate product revenue was a record for us this quarter, up over 20% on a linked quarter basis and over 30% year-over-year, reflecting the increase in loan demand and a favorable interest rate and currency environment, which drove increased hedging activity. Linked quarter service charges and fees were up from a seasonally lower first quarter level, while trust and investment fees increased, reflecting higher sale volume. The remaining fee categories were relatively stable linked quarter. On a year-over-year basis, non-interest income also benefited from strong contributions from FX and interest rate products and from higher trust and investment fees. Capital market was down modestly compared with the record levels in Q2 '17. The outlook for Q3 is strong as our pipeline and activity levels continue to be robust. Turning to Slide 7, our expenses remain well-controlled. Linked quarter expenses were down $8 million, given the seasonal decrease in salaries and benefits. Outside services were $7 million higher, reflecting costs tied to our strategic growth initiatives and work we're doing to run the bank more efficiently. Other expense is also $7 million higher driven by an increase in advertising and charitable contribution. Our expenses also included about $3 million of transaction costs related to the Franklin American Mortgage acquisition, which we expect to close in early August. Year-over-year expenses were up 3% on an underlying basis, including higher salaries and benefits and outside services expense, driven by continued investment to drive growth. We remain focused on finding ways to self-fund our growth initiatives and are doing a good job of finding efficiencies in same discipline. Let's move on and discuss the balance sheet in Slide 8. You can see we continue to grow our balance sheet and expand our NIM. Overall, we grew average core loans 2% linked quarter and 4% year-over-year, driven by strength across most of our commercial business lines and in education, mortgage, and unsecured retail in the consumer side. The growth in commercial loans were somewhat impacted by the sale of $353 million of lower return commercial loans and leases near the end of the quarter associated with our balance sheet optimization initiatives. For the quarter, our period end loan growth was 1.8% or 2.1%, excluding the impact of this sale. Our loan yields continue to improve given our balance sheet optimization along with continued discipline on pricing. We also benefited from higher LIBOR rates during the quarter. We remain well-positioned to benefit from the rising rate environment with asset sensitivity to a gradual rising rate to 4.6% versus 5% last quarter. Our asset sensitivity has naturally moderated given the rising rate environment. Let's take a look at our funding costs on Slide 9. Total funding costs were up 15 basis points, which reflected 11 basis points tied to deposit cost and four basis points associated with borrowed funds. This included the impact of the $750 million senior debt issuance late in the first quarter. Year-over-year, our total cost of funds was up 33 basis points, reflecting a continued shift to greater long-term funding along with the impact of higher rate. This compares with asset yield expansion of 51 basis points. The industry overall seems some increased deposit competition, but for the most part, deposit cost have been relatively well-behaved, and I'm very pleased that we continue to grow DDA. Our cumulative data on interest-bearing deposits is now 28%, and remains in line with our overall expectations, given where we are in the rate cycle. We continue to invest in analytics to improve our targeting to digital and direct mail offerings from the consumer side. And in commercial, we are making investments to build out additional product capabilities and to roll out our new cash management platform early next year. Also, earlier this month, we launched Citizen's Access, which will contribute to our funding diversification and optimization of deposit levels and costs. We expect to raise about $2 billion of deposits through this nationwide direct to consumer digital channel by the end of the year. So this is a relatively small part of our overall deposit strategy. We think it will be an excellent complement to our highly-accretive retail lending initiatives, such as education, finance, merchant finance, and home equity. We are very excited about this platform giving us access to our whole new set of deposit customers with the minimal effect on our existing deposit base. Next, let's move to Slide 10 and cover credit. Overall credit quality continues to be strong, reflecting the continued mix shift with higher quality, lower risk retail loan, paired with the stable risk profile in our commercial book. The non-performing loan ratio improved to 75 basis points of loans this quarter, down from 94 basis points a year ago. The net charge-off rate of 27 basis points for the second quarter is relatively stable both linked quarter and compared with the prior year. Retail net charge-offs improved from the first quarter, mostly reflecting a seasonal improvement in auto. Commercial net charge-offs for the second quarter were up $15 million versus last quarter, which benefited from a modest net recovery. Provision for credit losses of $85 million included a $9 million reserve build, primarily tied to loan growth. As we increase the mix of higher quality retail portfolios in our overall loan book, our allowance for total loans and leases ratio has decreased modestly to 1.1%. The NPL coverage ratio improved to 148% from 144% in the first quarter and 119% in the second quarter of 2017, given continued reductions in NPLs and run-off in the non-core portfolio. On Slide 11, let's cover capital. We ended the quarter with a strong CET1 ratio of 11.2%, which was stable compared to the first quarter and the prior year. This quarter as part of our 2017 CCAR plan, we repurchased 3.6 million shares and returned $257 million to shareholders, including dividend. It's also worth noting the total amount returned to shareholders in the 2017 CCAR window was $1.3 billion, including dividend. As you know, we received a non-objective to our 2018 CCAR capital plan, which includes up to 1.02 billion share repurchases. We announced an increase in our dividend today by 23% to $0.27 per share, and we also have the ability to increase the quarterly dividend again to $0.32 per share in the first quarter of 2019. Overall return of capital to shareholders in the plan is up 300 million, or 23% versus 2017 CCAR. Our planned glide path to reduce our CET1 ratio by at least 40 basis points over the cycle remains on track, and we remain confident in our ability to continue to drive improving financial performance and attractive return to shareholders. Let's move on to Slide 12. Our TOP programs have successfully delivered efficiency that allow us to self-fund investment and continue to drive future growth. We have executed very well on the TOP IV initiative, which are now expected to deliver $100 million to $110 million pre-tax by the end of 2018. We are also very excited to share the details of our new TOP V program today, which highlights our focus on continuous improvement and delivering value to our shareholders. This program targets a pre-tax benefit of $90 million to $100 million by the end of 2018 with approximately two-thirds tied to efficiency initiative. On the efficiency side, we are constantly challenging ourselves to do even better, and we continue to see further opportunity. We will continue to focus on transforming our branch footprint in support of our shift to an advisory service model. We are also working to simplify more of our organization by leveraging new process improvement and agile ways of working across the bank. Our customer journey's work will drive end-to-end process efficiencies with simple and excellent customer experiences. On the revenue side, we are embarking on the next-phase of our data analytics efforts to enhance the targeting of our product offerings and improve the customer experience. We will continue building out our fee income capabilities to new work on customer journey and the build out of full-service bond underwriting capabilities. And we are planning to continue our successful commercial banking expansion into attractive MSAs, such as Dallas and Houston, where we already have a presence tied to industry vertical. In short, our management team remains fully committed to strong execution of these programs, which allows us to serve our customers better, make the company stronger, and deliver long-term value to our shareholders. On Page 13, we have provided color on how we are progressing against our strategic initiative. This slide highlights some of the progress we are making against our efforts to optimize the balance sheet and the investments in our fee generating capability. We also wanted to highlight some of the interesting things that are going on our businesses as we remain focused on becoming a top performing bank. On Slide 14, you can see the steady and impressive progress we are making against our financial targets. Since 3Q '13, our ROTCE has include from 4.3% to 12.9% as we approached the lower end of the range of our 13% to 15% medium-term ROTCE charges this quarter. Our efficiency ratio has improved by 10 percentage points over that same timeframe from 68% to 58%; and EPS continues on a very strong trajectory as well, up to $0.88 from $0.26. Let's turn to our third quarter outlook on Slide 15. I should point out that this outlook is before the impact of Franklin American Mortgage, which we expect to close in early August. On the bottom of the slide, I will talk a little about the impact we are expecting for the third quarter from the transaction. On a standalone basis, we expect to produce linked quarter average loan growth of around 1.25%. We also expect net interest margin to continue to expand modestly in linked quarter. In non-interest income, we are expecting to see a modest increase with continued strength in capital market, given the strength of our pipeline heading into the third quarter. We expect non-interest expense to be up modestly in the third quarter with positive operating leverage and further efficiency ratio improvement. Additionally, we expect provision expense to be in a likely range of $85 million to $95 million. And finally, we expect to manage our CET1 ratio to end the third quarter around 10.9% including the impact of Franklin American Mortgage and expect the average LDR to be around 99%. Moving to Slide 16, we expect the Franklin American Mortgage transaction to close in early August. It should contribute about 550 million of loans held for sale, and about [technical difficulty]. We also expected deliver about 25 million to 30 million of servicing and origination fees for the third quarter with an MSR of about 600 million at the end of the quarter. We expect expenses to be in the same range as fees excluding integration cost of about 10 million in the quarter. As we told you when we announced the deal, we expect our CET1 ratio to be impacted by about 18 basis points. To sum up on Slide 17, our strong results this quarter demonstrate our ability to execute against our strategic initiatives and continue to include how we run the bank to drive underlying revenue growth and carefully manage our expense base. Our outlook remains positive as we work to become a top-performing regional bank. Let me turn it back to Bruce.
Bruce Van Saun: Okay. Thanks, John. Paul, why don't we open it up for some questions?
Operator: Thank you, Mr. Van Saun. We are now ready for the Q&A portion of the call. [Operator Instructions] And your first question comes from the line of Scott Siefers with Sandler O'Neill Partners. Your line is now open.
Scott Siefers: Thank you. Good morning, guys.
Bruce Van Saun: Hi.
Scott Siefers: First just sort of a tic-tac question on the guidance, the 1.25% average loan growth expectation for the third quarter, it's granted [ph] a very subtle change, but just a little lower than the 2Q. John, I guess I am wondering if there has been any change in demand, customer appetite et cetera, or is that just a function of the late 2Q portfolio of sale? In other words, are we sort of at a steady state 6% annualized on kind of apples to apples basis, or has there been any change in your mind?
Bruce Van Saun: I'll start off, Scott, and then John and maybe Don can offer a commentary. But I would say we feel very good about our ability to originate loans particularly on the commercial side. And we had a very strong pipeline coming into Q2. We were a little sluggish in Q1 as the whole industry was, but ultimately we're going to trend in line with the industry. Because of the hiring that we're doing and the geographic expansion and build up of some of our verticals, I think we should be kind of at the north end of where our peers are, which we have been able to sustain. I think the outlook for Q3 continues to be very positive on the commercial side. We've got good pipelines heading into Q3, and the sale that we did late in the quarter is just part of our balance sheet optimization efforts. And we -- probably that impacts the outlook by 25 to 30 basis points. So you would probably be looking at an annualized rate of 6% or so in the third quarter, absent the impact of that sale. Consumer has been kind of impacted somewhat by market conditions being a little sluggish in the first-half. There is a usually a seasonal pick up in Q3 tied to our education finance business. And so, we would expect to see a bit of a pick-up there. As you know, we are running down auto and we have had HELOC as a phenomena in the market that's been prepaying and paying off. And so, we have had that as a little bit of a headwind on the consumer side. But overall, I feel very good about the outlook for growth, and I think if we are kind of on a year-to-date basis a little bit behind, a tad behind on the loan growth. We have made up for it with running ahead on NIM, where we have had another rate hike than we assumed going into the year. And so, I think the NII outlook continues to track really well for the full-year, maybe a little less on loan growth, little more on NIM, but certainly moving towards the high-end of the goalpost for the full-year outlook. I have said a lot, John; you want to pick-up the ball from there?
John Woods: Yes. It's a real high-level point maybe on consumer and commercial. So, some headwinds as you mentioned with auto running down and a pick-up and some attrition that we have seen in home equity, but the things looked to be balanced out a little bit in 2Q. We are looking forward with refi, some strength in mortgage, and in the unsecured space overall. So that looks good. And in commercial, as you mentioned lending pipelines are holding strong. After a very solid 2Q, we still see the pipelines holding steady in both the C&I and CRE space. So from that perspective we are feeling good about it. And if you look at how we are comparing, Bruce gave you the overview, but when you think about how we are looking versus HA [ph], pretty much across the board, we are either in line or better. So I think we are executing well on that front. So those would be the only comments I would add.
Scott Siefers: Okay.
Bruce Van Saun: Don, you have any comment?
Donald McCree: No, just confirm the pipeline look good. I feel very good about the fact that - you will see it continue to manage the balance sheet for assets that are just not working for us on a total return on yield basis. And the good news about the assets we sold is we sold them at far better, which is a reflection of where the market is. So, it was a very attractive sale for us.
Scott Siefers: Okay.
Bruce Van Saun: Yes. And I would just add one last point, Scott, is that we're constantly calibrating -- we have loan growth opportunities. Do we pursue all of that or do we either look at the back book or throttle back on the front book depending on where we think the funding cost that are going to go where we need deposits to fund the loan growth. And so that constant calibration is what it's going to cost us to fund the loan growth, is it going to be NIM accretive, is it going to be ROTCE accretive? And I think what you are seeing is that we have been able to sustain loan growth at the high end of peers, still have our NIM expand, still have our ROTCE expand because of some of the attractive lending pockets that we've identified.
Scott Siefers: Okay, that's perfect color. Thank you. And then if I can ask just one really quick separate one on the mortgage company acquisition? Granted it's small, but on the financial information you detailed on Slide 16 for the impact, does the accretion grow at all after the third quarter? Or once we pop in the NII fee and expense impact for the third quarter, is that sort of steady state from there on out?
John Woods: Yes, thanks, Scott, good question. So yes, what that reflects exclude the synergies that once we close on the deal, we will start executing against the various expense synergies that we talked about on the funding side, on the operational side and in servicing category. So you can -- I think we mentioned that we would expect that things would modestly accretive in 2H [ph]. And so that's our outlook there. And we talked about the 2% in 2019 and 3% in 2020, but -- so that's you are seeing on [indiscernible] synergies.
Scott Siefers: Okay, terrific. All right, thank you guys very much.
Bruce Van Saun: Thanks.
Operator: Your next question comes from the line of John Pancari with Evercore ISI. Your line is now open.
John Pancari: Good morning.
Bruce Van Saun: Hi.
John Pancari: Back to the commercial loan growth just want to see if you can give us just a little more color on what is really driving that in terms of loan types, is it more larger corporate? And then if also you can give us an idea where the new money yields are for the commercial loans that are coming on the books right now? Thanks.
Donald McCree: So it's really across the board. I mean it's concentrated in some of our industry verticals which tend to be slightly larger accounts and our expansion mortgage which also tend to be slightly larger credit, so more of mid-corp and middle market. And the reason for that particular expansion mortgage is we are being careful on credit quality. So as we are in new markets, we want to be dealing with bigger companies with slightly more financial flexibility. We are also seeing a little bit better utilization of working capital, which I think is indicative of some of the tax effect coming through with particular our midsized companies. And we are seeing a decent amount of M&A activity in terms of funding of M&A oriented activities in the client base. And I would say yields have held up pretty well. I mean our front book originations aren't too far off our existing portfolio. And we are being selective. If we are seeing overly competitive situations where yields are unattractive from a return basis, and we don't have cross-sell, we are passing. And we have actually seen a fair amount of aggressiveness in the market which we don't like. But we are being highly selective in terms of where we thought. And the way we look at it is not just loan yields, but it's overall return on credit extension, so it includes cross sell capability into our cash management business as well as our capital markets and mortgage business.
John Pancari: Okay.
John Woods: And just to add a little bit to that, the new loan yields coming in are in the middle market space are in the mid 450s or so. And you can see that we are as yield continue to go up driven by the Fed, we're able to capture most of that into the coupon from the front book and that plus cost will drive very attractive funding opportunities as we look at that base.
John Pancari: Got it, okay, thanks. Then separately in terms of the loan loss reserve I know you are -- a little bit more down to about 110 basis points overall. How are you thinking about that level here particularly as you -- particularly given the space of growth you have seen in certain loan portfolios like in the commercial and everything and where we are in the credit cycle? Where do you see that going from here?
Bruce Van Saun: I'll start and then maybe John you can chime in. But that's just been modestly declining I think. If you go back a couple of years ago, it might have been in 116–117. And it's down around 110. I think there is a number of things that play. Obviously, the credit back book is very, very clean. And so that's a factor. And then as we remix loans and run offs on far legacy dodgier loans if you will and really expand in areas where -- on the consumer side we're pristine in terms of our credit risk appetite. I think that remixing also requires lower overall reserve levels. And so I think it's really a reflection of where we are in terms of our credit risk appetite, where we are in the credit cycle. And we feel good about those levels at this point.
John Woods: Yes, just would add, I think we would see now that there are in terms of where we are in the cycle when you look at charge offs rates being where they are in 20s, we all imagine that's on the lower end of where things will likely be through the cycle. But just how the accounting works and that's what we are tied to, how the accounting works we are looking at the current loss model which really wouldn't allow us to really put out much more than what we are doing. And I mean I think the…
Bruce Van Saun: We are building reserves. Two quarters in a row we -- this quarter we had 9 million billed provision over charge offs. So I think we're keeping up with some of that loan growth, but we have such good results on that credit backlog that's netting to not much of increase in the overall allowance.
John Woods: Yes, and that mix shift that Bruce mentioned is a driver, so we're just heading -- we are seeing better quality stuff come in the front books that's going at the back.
John Pancari: Okay, got it. Thank you.
Operator: Your next question comes from the line of Saul Martinez with UBS. Your line is now open.
Saul Martinez: Hi, good morning everybody. Couple of questions, first, can you talk a little bit about your expectations for deposit costs up 11 bps? But if I just look at interesting bearing is up about 15 sequentially, can you just give us a sense of how you think about the glide path there? And you mentioned the cumulative beta still been relatively low. Where do you think -- as the rate cycle progresses, where do you think that can go to in terms of both cumulative beta but also the incremental beta on the later hikes?
John Woods: I'll go ahead and take that. So I mean, yes, we had deposit cost up 15 basis points from interesting bearing. I think it's important add that when you include our very solid DDA growth really the all-in growth in deposit cost was 11 basis points. And that's been really and dramatic of the investments we have been making in that space to really drive DDA. And we are really proud to be able to continue to grow DDA in this environment which is better than many have been able to do. So that's the position we are in. We continue to see some opportunities to grow DDA going forward which will offset the interesting bearing cost as you indicated. Cumulative beta is around 28. I think you could see us getting into the low 30s in the second half of the year in terms of cumulative betas, even ending the year still in the low 30s. And sequentially betas, by the time you get to the end of the year, it depends on who many hikes you get, right? If you look out of the window and say, listen, there is a sense that we will get more at least but may be not the second one, you could see sequential betas getting into the 50 or 60% level by the time you get to the end of the year really being driven by that at least one more hike that we think we will get either in September or November.
Saul Martinez: Obviously, you have the asset sensitivity in the mix shift, though the balance sheet optimization helping you, but is there a point at which the beta in terms of rates or betas that an incremental hike becomes NIM neutral?
John Woods: Yes, just something to think about on the loan side, our loan betas are around 60% and continue to hold in at that level. When you think about deposit base, you got to remember about all the non-interest bearing funding including equity that needs to adjust that level. So even out of deposit beta at 60%, the effective beta is really 45%, and so it continues to be useful and accretive to grow into that kind of environment, and we're constantly looking into that on a quarter-to-quarter, month-to-month basis, and we monitor the incremental loan growth against the incremental deposit cost and we make financial decisions that are quite prudent in that regard. But I don't think we should be scared away from 60% deposit betas because of that other effect that I mentioned.
Bruce Van Saun: Yes, and I would just add to that. So if you look at the overall asset sensitivity that we published in response to 200 basis points gradual hikes, we held in pretty much around a 5% level. I think we're tad under 5%, but that speaks to John's point that the dynamic right now still is for NIM accretion as the Fed continues to hike. And I'd say when you look at our deposit costs, if you kind of align the peer group, a super-regional peer group about who is growing deposits and who is actually flat on deposits, and who is actually shrinking their deposits and allowing their LDR to flow it up, I think we're doing a darn good job in terms of -- you know, you could draw regression equation on that. And so, we're going to have slightly higher growth in our interest-bearing deposit cost, because we're actually growing deposits because we have a loan growth. And that's all to the good because we have NIM expanding, we have our ROTCE expanding, and so we've got that calibration really under focus, and we're managing it very well in my view.
Saul Martinez: Okay, that's helpful. And if I could just follow-up on the asset side, loan yields were up a lot this quarter, 33 bips and I think 40 plus for commercial, how much did the LIBOR blowing out relative to the Fed funds help and how should we think about asset yields and commercial loan yields I guess specifically with incremental hikes?
John Woods: Yes, I mean that helps, right. So I mean we get 30-some basis points and that's a bit of help.
Bruce Van Saun: That was there last quarter though too. So that's been kind of on a sequential quarter basis, you've had the LIBOR anticipating the moves, and so it's relatively neutral I think from Q2 to Q3 because they both have that phenomenon.
John Woods: They do, yes. So first quarter the phenomenon was really stronger than second quarter. And you saw three months LIBOR and one month LIBOR kind of tightening in a little bit, but Bruce is exactly right quarter-over-quarter, 1Q to 2Q similar phenomenon. As you head into 3Q, we're going to continue to get asset yield growth, but it will be more balanced with the consumer side of the house. In 2Q, you saw C&I really driving it in Q3, it will be more balanced between consumer and commercial. And the other thing to talk about, we still are in about even post swap adjusted basis with 52% of our assets are floating. But the other 48% continues to drive improvement when we get that - when you don't have the rate, I just take benefits from that, from the lag effect on the flipside of the asset block.
Saul Martinez: Okay. Just one final quickie, on the guidance for Franklin American, that 25 to 30, is that I guess we should think of that as a two-month impact and then as opposed…
John Woods: Yes, roughly yes.
Saul Martinez: All right, thank you.
Operator: Your next question comes from the line of Ken Usdin with Jefferies. Your line is now open.
Ken Usdin: Hi. Good morning, guys. For Bruce or John, I was just wondering around the CCAR outcome, you guys had written in your own press release about your discontent about the outcome, and I was just wondering if you can just help us understand what your perception is about the disconnect and what you're trying to do in terms of the dialogs about the models, and hopefully that I can get into a better direction for you guys because obviously you have a ton of capital and so the ability to continue to -- you return plenty of it, but just in terms of the outcome and the outlook, I think it would be helpful to understand. Thanks.
John Woods: Yes, sure, Ken. And this is a private conversation that we're having with the Fed, but I'll tell you kind of the headline of it so you get a sense as to where we think the -- but the Fed changed their PPNR model in the 2017 CCAR cycle to move away from more of an average industry approach to firm-specific approach. And I think when they built that model they pick up data from right after the great recession, which we think has data elements in it. So when you think about the super-regional peers, most of the super-regional peers had the benefit of TARP funding and were able to grow their balance sheets, and dues, in some cases acquisitions that were quite accretive. Citizens uniquely was owned by a foreign government, if you will, 80% owned by the U.K. government, not eligible for TARP and needed to shrink its balance sheet too because they didn't get the TARP funding, but also because its parent needed to raise capital levels, and I was there, so I know I saw that firsthand. And so, from peak to trough, the Citizens balance sheet shrunk by 30% and peers actually went the other direction, I think the average peer was 125 to 160; we were 160 down to 125 over a five-year period. When you shrink, as you know, in banking, you end up with an impact on your fixed expense base, so your overall expense ratio goes up, which really depletes your PPNR. So if you're picking up that data, you're going to get one set of results for most banks; you're going to get a unique set of results for us who has unique history. And then when you look at how does the Fed run the CCAR model, they actually assume that your balance sheet is going to grow, they don't assume that it's going to shrink when they do their forecast through stress. And so, you have a total inconsistency between the assumption on what's going to happen to the balance sheet and then the data that they're picking up for their PPNR model. So that's the short version of it. We've had continuing dialog, and we're actually hopeful because we think this is a very clear logical argument that we're putting forth, and when those have been presented to the Fed in the past, they've been willing to consider them and make adjustments. So we're hopeful that that will resonate.
Ken Usdin: Understood, okay, thanks for that. Appreciate that. John, one question for you, there are lot of focus obviously on the right side of the balance sheet, can you help us understand how much more efficiency improvement do you have on the left side? You have talked about a lot of the things that you're working on in terms of the mix and the changes. But any tangible examples of where you still see an asset yield improvement that we may not be getting yet in the current results?
John Woods: Yes, absolutely. So, on the asset side, we think about it as reallocating capital from lower return categories. We missed a fair bit of that out there. We've got a relatively large auto book and an asset finance book and a non-core book that all tend to come in a bit lower on the risk return profile than maybe some of the other opportunities that we have up there in the student space and emerging finance and all in within C&I. So there's still a fair bit of that to go, and you can't really fix that kind of stuff in one or two quarters; it takes years to be able to fully transform the balance sheet, and so, we have embarked upon this with the level of formality and you will continue to see benefits coming out of that behavior over the next year or two. I would also mention we not only see opportunities across loan categories, but within loan categories themselves and where we want to rotate more return basically bottom quartile investments that we may have made and maybe increasing the velocity of exiting those relationships and rotating them into and reallocating the capital in different relationships is also an opportunity, and that's indicative of what we did with the $350 million that you saw in 2Q. So I think there's still a fair bit let to go on that front.
Ken Usdin: Got it. Okay, thanks a lot.
Operator: Your next question comes from line of Ken Zerbe with Morgan Stanley. Your line is now open.
Ken Zerbe: Great, thanks. Good morning. I guess, first question just in terms of the broader guidance, I certainly appreciate the third quarter guidance, it is very helpful, but when we think about like the full-year guidance that you had given a couple quarters ago, specifically loan growth I think was 4.5 to 5.5 and fee growth of over 4.5. Are those targets are superseded by the third quarter, meaning should we no longer rely on the full-year targets you gave a few quarters ago? Thanks.
Bruce Van Saun: We'd say, Ken, that will give you annual guidance at the beginning of the year, it's the policy. And then, we will give you quarterly updates and we will comment in around about the annual guidance as go, but we are not in the business of updating that full-year guidance every quarter. You have got two quarters in the bank, you have got detailed guidance on 3Q, and so really I hope it's left us to beat the puzzles to come up with a fourth quarter for all you analysts on the line. But if you just look at the trends of how we are performing, as I mentioned that to an earlier question that I think on NII, we are very strong, and you can do the projections based on what's in the tank in 3Q and you'd come out, I think towards the top end of the goalpost on NII, and I think the roadmap to get there as I indicated is maybe a little less loan growth than initially assumed, but better NIM expansions than we had initially assumed. On fees, I think you can project that out, and we are going to be a little light I think of the range. It depends if you want to include Franklin American that would put us back in the range, but except, we probably be a little lighter than ranged. On expenses, we are tracking to kind of -- certainly the range is not the left goalpost to the range. So when you stir that together, you are going to find I think a strong PPNR that's consistent with the guidance that we gave at the beginning of the year. And then where we have had -- I think a solid improvement is going to be our credit cost. So we feel good about our ability to deliver against the guidance at the beginning of the year both on a PPNR basis and on a credit cost.
Ken Zerbe: Okay, great. That's helpful. And then, just in terms of Citizens Access. When we think about the growth there, and presumably they are come at somewhat higher cost than your normal deposits, your branch-driven deposits. How does Citizens Access change? How you feel about your asset sensitivity going forward?
John Woods: Yes, I will go ahead and take that one. So, as you know, we just launched this thing, just for context. This is a nice diversification performing sources, but when you think about, what we are trying to drive here approximately $2 billion by the end of the year, that's less than 2% of our deposit base. So we want to keep it in context. We are excited about it. We think it's a great platform to test and learn innovative approaches to customer experience, but nevertheless it's still about -- it's less than 2% of our deposit base. With respect to cost, the launch rates as you know when we think it launched to typically a little higher to drive awareness and consideration, but it's still lower than the marginal large commercial and consumer promo and wholesale borrowings that are on our balance sheet. And so from that perspective, it's very important qualitatively, but even financially at the margins these are desirable deposits to be on the balance sheet, just to give you a couple of numbers here and then I think from -- even at our launch rate, which we have the unique ability to be able to do, so that we can lag pricing later on we are around 2% on savings and that's the majority of what we have going on here. Even large commercial depositors would be in excess of that and really the promotional ways, when you consider the cannibalization it typically occurs in a branch-based promotional activity, those rates will be higher than what we are driving out of Citizens Access as well. So we are really excited about it on both fronts, both the strategic aspects of it and the financial aspects of it in the box that we are keeping it on the balance sheet.
Bruce Van Saun: And I would just add, John, I think it gives us access to a whole new customer set and a customer base that we haven't had access to before. We are 11 days into the launch. We are optimistic about the progress we've made. And we have already taken deposits in all 50 states. So it's a good sign that we are reaching new customers.
Ken Zerbe: All right. Great, thank you.
Operator: Next question comes from the line of Kevin Barker with Piper Jaffray. Your line is now open.
Kevin Barker: Good morning. Could you talk about your growth projections over 2019-2020, or maybe over the next three or four years for Citizens Access, given the structure of that and how much you expect it to grow, or at least be a portion of your overall deposit base?
Brad Conner: Yes, I mean, I'd say this, I mean, it's hard to see where this goes, right, and so we will remain nimble as it relates to where we want this to head. But you wouldn't imagine that this thing would get out of a single-digit percentages of total deposits going forward, or maybe I guess into the five to at the very highest ten, but I would say a good expectation would be maybe high single-digits, but we are going to -- like I said, we are going to test and learn. This is new for us, and we are excited about how things have launched you out of the gate. But it won't be a huge part of our deposit base over the next couple of years as we look out into the future.
Kevin Barker: Okay. And do you view this as an alternative to funding the typical branch deposit base in order to gain new customers and potentially grow assets through these new customers, or do you view this as like an alternative funding source to replace the wholesale funding?
Bruce Van Saun: Well, let me take that, but I would say that it is an alternative funding source that can be compared and contrasted with some of our higher cost marginal dollars of funding. So what would those be, certainly on the commercial side, we have pockets like borrowings from financial institutions or pooled government funds that you could look that marginal cost of that versus using this channel. Certainly on the consumer side, the kind of promo CD pricing to cost new money from our existing customers into the bank, you could compare and contrast that versus this offering, which is much more diffuse and going to attract money on a much broader basis. And so that's principally how we would view it. Having said that, what Brad just said, I think it's quite important the kind of test and learn and enhancing our digital capabilities, and then can we offer additional products and services digitally to these customers. We have some very attractive lending products for example, but maybe those customers would be interested in, we will see where it goes.
Kevin Barker: Okay. Thank you very much.
Operator: The next question is from the line of Matt O'Connor with Deutsche Bank. Your line is now open.
Matt O'Connor: Good morning. I was hoping if you could just elaborate on the appetite for some of the fee revenue deals, and then, specifically in mortgage, do you feel like you've got the scale on the servicing side that you want there, or is that an area of opportunities though?
Bruce Van Saun: I would start here and say, you know, I think the areas where we haven't had the scale, the biggest holes really have been on the consumer side fee activities. The first was mortgage. I think this really addressed what we feel we needed. So I don't think there is really more we need to do in mortgage. The second area has been wealth, and we've been building that organically getting the business model right in terms of how we distribute through our branches and become trusted advisor to a much broader swat of our client base. We are missing some opportunities I would say at the highest end of the pyramid, and the cross-sell over into commercial where we offer great banking services to some middle market companies and very wealthy families. But we really don't have that high-end capability that competes well in the marketplace with some others. And so, that might be an area for example where we look to do an acquisition or other things in the footprint that can potentially get us more breadth and get us a bigger financial consultant for us faster than doing it organically. So those will be the areas on the consumer side. I'd say on the commercial side, we did the M&A boutique. We still have opportunity I think based on the size of our customer base to expand that, and so we might build off that platform and higher organically, or if we can find some other boutiques that maybe cover certain industry verticals, we could seek to bolt-on that way to that platform. I think there are opportunities potentially around the payment space and some of the innovation that's taking place there. Some of those things could be through FinTech, some of those things potentially could open opportunities for acquisitions, but I think we are now feeling good about our capability to source deals due to diligence, execute them well. That was kind of muscle that we didn't have, we didn't need, we haven't done a deal prior to one last year, and I guess it was 13 years, I think 2004 was the Charter 1 deal. But now we've got the capability inside the bank, and we feel good about our opportunity to source these things putting in. I think they're going to be straight down the fairway modest in size, fit a strategic need and have good financials associated with them.
Matt O'Connor: Okay, that's helpful. Thank you.
Operator: Your next question is from line of Erika Najarian with Bank of America. Your line is now open.
Erika Najarian: Yes, good morning. I just had a few follow-up questions, Bruce it's been really impressive to see the ROTCE improvement and what's really stunning is even you look to do that with the CET1 ratio just essentially flat lining at 11.2%, and I'm wondering given the 290 basis points difference between the co-run model and the Fed model like Ken was mentioned in his line of questioning, if there is not a significant amount of improvement in terms of the difference in modeling, what kind of flexibility do you have over the near-term to take that down on an organic basis in terms of your CET1 ratio?
Bruce Van Saun: Yes. Well, I think we still have a fair amount of flexibility. So we're targeting to bring that down 40 to 50 basis points this year when you think about the Franklin American deal. And then I think we -- if you look at rolling to next year, the SCB is likely to go into effect, which even if we hadn't resolved, if we don't resolve this issue, I think we still have plenty of flexibility to keep moving down on our glide path. So I don't really see much impact at this point. We just feel better, I think it's a negative to the perception of how we're going to perform and stress to have these results published and see ourselves in a route with Goldman Sachs, Morgan Stanley in terms of huge stress losses, which doesn't make any sense to anybody. And so I think from a reputational standpoint, it's good to have that adjusted and have us back into the pack after all at ROTCE now is converging with the pack and there shouldn't be the same kind of PPNR impacts that the Fed is modeling. It's quite apparent when you look at it. So I think the first thing is I just like to get it fixed, because it's wrong, and it doesn't help our reputation to have those results published. I think down the road it could create some flexibility that if we need it, it would be a little more room to work with, but we feel comfortable with the glide path that we're on, and that will continue, we'll execute that through the next CCAR cycle and then we'll see where we are a year after that.
Erika Najarian: Got it. And a follow-up question for you, John, I think what Bill was asking is in other conference calls that we've heard through this earnings season, the CFOs have indicated that the each net subsequent 25 basis points of rate hike will be less impacted on NIM as the previous. And I just wanted to make sure that we're hearing you right that because of the DDA growth and continued optimization on the asset side that you believe that Citizens is going to buck that trend?
John Woods: I wouldn't say that, Erika, I would definitely -- would say it and just to make sure I was there earlier; we agree that each 25 basis points of increase in Fed does drive all equal and increase in the sequential data that one would appear in. So that's clear that we agree with that. We just also would offer up that we happen to be growing DDA in an environment where most are not. So, on a net basis, that's helping that and it's having somewhat of an offsetting impact, but not fully reversing the impact of the fact that sequential betas will grow, and we will experience growth in sequential betas like others, but not to the extent that would otherwise be the case if we don't grow in DDA.
Erika Najarian: Got it. Thank you.
Operator: Your next question comes from the line of Peter Winter with Wedbush Securities. Your line is now open.
Peter Winter: Good morning.
Bruce Van Saun: Hi.
Peter Winter: I was curious about the commercial real estate lending environment, you guys are still having very good growth, and we've heard from a number of banks this earnings that probably getting more cautious on commercial real estate just given pricing and loosening of underwriting, I'm just wondering what you're seeing.
Donald McCree: Yes, we definitely are also getting at the margin more cautious, and being more selective where we see terms and conditions being stretched. We haven't seen that much movement in price in terms of price deterioration, but we have seen a little bit of move in leverage and structure, and we are staying disciplined. The other thing that you're seeing in some of our real estate growth is we have a large construction book, which is funding. So it's transactions that we have put in place on unfunded construction standpoint several years ago which are funding up onto the balance sheet right now. So I would say a growth on the origination side we think will moderate a little bit, but it wouldn't necessarily mean that our growth on the asset side will moderate on the funding effect.
Peter Winter: Thanks. And just a follow-up question, could you just talk a little bit about the impact of the flattening yield curve on your margin, and are there steps you could take to offset some of that pressure?
John Woods: Yes, I'm going to take that one. And I think the way to think about our exposure there is that we're about 75% and this is short end of the curve. But when we have a flattening yield curve, then that can give you a sense for what opportunity cost area is. That would otherwise be the case, as that non-occurred. So we got 4.6% asset sensitivity number that we spoke about earlier, that assumes the parallel shift increase in rate. So you note 25% half off of that when we don't get that increase on the long end. It's hard to fight gravity on the long end of the yield curve, and we are sensitive to the short end and maintain a majority exposure to the short end, and lot of our C&I lending really drives that exposure, and that's really the best defense I guess I would say to continue to drive net interest margin in an environment where the Fed continues to move, but the long end remains certainly well.
Peter Winter: Thanks.
Operator: And your next question comes from Gerard Cassidy with RBC Capital Markets. Your line is now open.
Gerard Cassidy: Thank you. Good morning. Bruce, you talked about the CCAR and the discussions you've had with the Fed. Obviously with the reform to Dodd-Frank, you guys will be falling on a CCAR possibly as soon as next year if not the following year. Aside from the obvious headline, it's not going to be in the news anymore, what do you think, or how are you guys thinking you will maybe behaved differently not having to go through the formal process will you be able to give back more capital quicker, what's your thinking on that?
Bruce Van Saun: Well, I'd say -- let me just emphasize that I think stress testing is a very valuable exercise, and it's embedded in our bank and every other super-regional. We have it basically built into our risk appetite framework, and it's tied to our strategies. So when we make decisions in terms of where we're allocating our capital, we run it through our stress test to ensure that we're making wise decisions. So just want to make that point first off, Gerard, is that if you fall out of the public exercise you're still going to be doing stress testing because they're quite valuable in terms of how you're running the bank.
Gerard Cassidy: Correct.
Bruce Van Saun: I think if we're not in that public exercise I think you just gain back time and maybe some effort in terms of how you have to package things up and present them, but we'll still have examiners on our local teams who are going to want to see how we're doing those exercises, it might be a little bit of time and effort savings. I think the big thing that you gain probably is just a little more flexibility where the management team regains control over making those capital decisions, and it's not a once-a-year exercise. That would sure be great for example if you forecast that you're going to have 5% loan growth, if the loan growth comes in at 4%, you don't have to go through a whole resubmission, you'd simply be able to say, "Okay, so my capital building up a little bit. I can go back and buy some more stock, and I can neutralize the impact of not having the loan growth that I assumed." And so I think that's the thing that we look forward to is to kind of start to operate the way normal companies do and normal industries not having to go through the full mother may I exercise that we have to today.
John Woods: And just to add to that, Gerard, as Bruce mentioned earlier, even if we don't get out of the stress test regime, the SCB has some really intriguing and desirable attributes from a flexibility perspective so you forget some maybe even most, but not all of the flexibility you would get if you get out entirely, you would still have the uncertainty factor of the annual SCB it would be assigned but you would get back lot of the flexibility may be even in the near-term even before we get out of the test itself.
Gerard Cassidy: Very good. I'm encouraged with Vice Chairman's quarrel speech this week that hopefully all you guys will benefit from the changes that are coming. And as a follow-up, obviously it's brand new; you guys just rolled it out your national and digital strategy, Citizen's Access, in your thinking, do you think this business will be more competitive versus your -- I know you're in a day-to-day blocking and tackling businesses, very competitive in your footprint, your physical footprint, do you guys have a view on which one is more competitive, or are they just really just very both competitive?
John Woods: I will start off and frankly maybe Brad can add. I think on a pricing standpoint, they both seem to be very competitive. I mean when you look at that the branch of footprint activities, and talking earlier about when you think about TOP online and direct bank offers being around those call at the 175 to 200 basis points range for savings, even in branch businesses which have all of the physical cost associated with it, we're seeing in our footprint, competitors going out at 175, which is at the low end of the online bank with no legacy physical plan that you have to recover as well. So the competition is pretty stiff in both places. We just have to pick our spots. And I think we've done that well in terms of differentiating on customer experience, and we've got one of the best customer experiences we believe that's out there, and Brad can elaborate that, but being clear about how we target the level of growth and where we invest funds, I'll turn it over to Brad.
Brad Conner: John, I think you're absolutely right. They're just different, right, they're both very competitive; they're just different. I can't stress enough that it is a completely different customer segment. So you really have to understand the customer that's using the direct bank. It's a different customer. It is highly competitive. You win on customer experience, which we think ours is exceptional, and you win with data and analytics capability and having sophisticated ways of reaching the customers. And we think we're very good at that as well. So we think we can win in both places, but in terms of which is more competitive I think they're equally competitive [technical difficulty].
Gerard Cassidy: When you guys did your analysis and your work before you launched it, what was your conclusion on what percentage of customers if they choose to purchase one of your products, is it rate-driven, what percentage of that customer is driven to your product just because of the rate?
Brad Conner: Yes, let me answer that a little bit differently, because I'm not sure I can tell you what percentage of rate-driven, what our research did tell us is that the customers who use the direct banks are on -- they're digitally savvy and they shop online. So there is certainly a rate element of that, but they expect an extremely simple experience and they expect low fees, and of course the cost of the direct bank is much lower to operate. We've launched a direct bank that really has no fees with a very simple experience. And so…
Bruce Van Saun: You can open an account under…
Brad Conner: You can open and fund an account in less than five minutes. So again, it's a different customer. They are rate sensitive, but I think what they really are looking for is a simple experience.
Bruce Van Saun: And Gerard, I think you're in our footprint, so you might want to try it out.
Brad Conner: Well, to have you open an account.
Gerard Cassidy: Absolutely, I will and I'll report back. Thank you so much guys.
Operator: And there are no further questions in the queue. And with that, I'll turn it over to Mr. Van Saun for closing remarks.
Bruce Van Saun: Okay, great. Thanks again everyone for dialing in today. We certainly appreciate your interest and your support. We continue to execute well, and we maintain a positive outlook for the balance of 2018. Thanks again, and have a great day.
Operator: That concludes today's conference call. Thank you for your participation. You may now disconnect.